Operator: Welcome to Intrawest Resorts Holdings' fiscal 2016 First Quarter Earnings Call. [Operator Instructions]. At this time I would like to turn the conference over to Liz Derosier, Director of Finance. Thank you, you may begin.
Liz Derosier: Thank you. Good morning everyone and welcome to the Intrawest Resorts Holdings fiscal 2016 first quarter earnings conference call. After our prepared remarks, there will be a brief question-and-answer session. I’d like to remind you that some of the comments made by management during the conference call contain forward-looking statements that are subject to risks and uncertainties that could cause actual results to vary, which are discussed in our public filings filed with the SEC including reports filed under Securities Exchange Act of 1934. We caution you not to put undue reliance on forward-looking statements. Forward-looking statements made during the call speak only as of the date of this call and we undertake no duty to update or revise these statements. In addition, some of the comments made on this call may refer to certain measures such as adjusted EBITDA, which are non-GAAP measures. Although adjusted EBITDA is not a substitute for net income or other GAAP measures, management believes adjusted EBITDA is useful in measuring the operating performance of our business. For a full reconciliation of adjusted EBITDA to GAAP results in accordance with Regulation G, please see our press release furnished as an exhibit to our Form 8-K dated November 5, 2015. This and the presentation that accompanies today's call are located in the investor relations area on our website at Intrawest.com. Our call today will include remarks from Tom Marano, Chief Executive Officer, and Travis Mayer, Chief Financial Officer. I will now turn the call over to Intrawest’s CEO, Tom Marano.
Tom Marano: Thank you, Liz and good morning everyone and welcome everyone. We're very pleased with our fiscal 2016 first quarter results. Total segment revenue for the quarter was $85.8 million up 16% and adjusted EBITDA was negative $14.2 million which represents an improvement of approximately 30% over the prior year period. Our first quarter is historically our last quarter with results driven by year round operating and administrative expenses partially by offset by positive contribution from summer operation. Our primary summer operations included outdoor activities and attractions, lodging and S&B in the mountain segment, heli hiking and firefighting in the adventure segment and our hospitality and vacation businesses in the real estate segment . While the mountain segment produced an adjusted EBITDA loss for the quarter as the resorts do not open for ski operations until mid-way through our fiscal second quarter because venture and real estate segments both generated positive adjusted EBITDA. The mountain segment benefited from the Blue Mountain acquisition which was completed during September of fiscal 2015. By integrating Blue into our platform and more specifically into our revenue management program, the resort grew significantly and produced positive adjusted EBITDA during the first quarter of fiscal 2016. This is a rare accomplishment in the ski business as resorts have substantial expenses during the summer associated with maintenance and preparing for winter operation. Blue has a large lodging operation and two conference centers the drop from the nearby Toronto Metropolitan area. One of which was in its first full summer of operation this year. The resort also offers a variety of popular summer activities including Ontario's first Alpine coaster, mountain biking, mini-golf and an 18 hole golf course. We believe there is an opportunity to replicate [indiscernible] of Blue summer operation at some of our other resorts on a more limited scale and a Winter Park in particular did to its proximity to Denver and its success with the Trestle Bike Park. In the adventure segment. Results were positively impacted by increased farce fire suppression activities compared to the prior year period. We were able to leverage drier than normal conditions and an active fire season by strategically positioning our helicopters throughout the western U.S. and Canada in close proximity to active fires. This resulted in a high level of needed work. Looking forward to the upcoming ski season. Season Pass and frequency product sales continue to pace well ahead of last year. As of November 1, season pass and frequency product sales were up approximately 10% compared to the same time last year driven by 4% increase in units and a 6% increase in yields net of estimated payments to our partner resorts. Since our last call the favorable pace variance has diminished slightly as we have successfully educated certain customers to buy earlier in the sales cycle which we consider to be a favorable trend as we have locked in customer commitment even further in advance of the ski season. We have experienced season pass some frequency product growth across our portfolio and Colorado season pass sales continue to demonstrate the benefits of our strategic alliances. We are also encouraged by the launch of the [indiscernible] pass, product awareness is growing and the past has been well received in the media and by skiers and riders. Based on initial sales and the war market reception we believe we have built a solid foundation to continue growing the past over the next few years. While it's still early in the booking cycle, our lodging reservation for the upcoming ski season are also facing slightly ahead of the prior year. CMH bookings for the upcoming ski season continue to pace well ahead of last year. Winter sales are up approximately 9% compared to the same time last year as demand remained strong for this season despite the poor weather conditions last year. We have actively marketed the value to U.S. customers from the weakened Canadian dollar which has resulted in an effective discount of over 20% relative to what a U.S. customer would have paid at this time last year to book a trip. We've also launched marketing campaigns targeted at acquiring new CMH customers that offer discounts on orphans spots during the early season, given the fixed costs nature of operating a trip, filling any remaining spot to increase the load factor in a helicopter provides a higher level of flow through an incremental profit. Finally our capital projects are on pace for completion in advance of the ski season. Guests can look forward to the newly renovated base lodge at Stratton, reinvented menu and food and beverage offerings throughout our portfolio, our FIT technology at Steamboat and Winter Park, snow making improvements at Blue, [indiscernible] and direct bus service from Manhattan to Stratton on the Stratton Gedney which will begin running on January 8th. We are pleased with our summer results and the current pacing metrics for the winter. In addition to focusing on continuing the momentum of organic growth at our existing businesses we remain focused on pursuing strategic acquisitions and evaluating opportunities to unlock the value of our real estate holdings. We will provide updates on those initiatives when appropriate. I'd now like to turn to call over to Travis for a more detail discussion of our segment operating results.
Travis Mayer: Thank you, Tom and good morning everyone. As Tom mentioned total segment revenue for the first quarter was $85.8 million up 16% and adjusted EBITDA was negative $14.2 million which represents an improvement of 29.6% over the prior year period. We achieved the substantial growth despite the Canadian dollar weakening by approximately 20% versus the U.S. dollar relative to the first quarter of last year. The weakened Canadian dollar negatively impacted total segment revenue by approximately $9.4 million and adjusted the EBITDA by approximately $1.3 million. Our results for the first quarter of fiscal 2016 include 100% of the revenue and EBITDA from Blue Mountain for the entire quarter whereas in the first quarter of fiscal 2015 we accounted for our then 50% interest in Blue Mountain under the equity method the up to the September 19th acquisition date. So prior the acquisition day last year our results included only 50% of Blue's EBITDA and none of Blue's revenue. Given the impact that after tax and the acquisition of Blue had in our financials I will reference several same storm metrics that were calculated on a constant currency basis and is it one 100% in Blue Mountain was on during all period. In the mountain segment, first quarter revenue increased 37% to $49.8 million. On the same store basis mountain segment revenue for the quarter increased by $5.8 million or 11.7% primarily due to an increase in summer visitation and effective marketing and revenue management strategies that drove increased lodging ADR and reservations. We enjoyed same store grounds throughout all lines of business within the mountain segment with lift revenue up 25.7%, ski school up 26%, retail and rental up 12.6%, lodging up 11.5% and food and beverage up 8.2%, During the summer lift and ski school revenues are primarily related to mountain biking lift access and instruction. Our mountain adjusted EBITDA loss improved by $3.2 million or 13.4% relative to the prior year. On the same store basis our mountain adjusted EBITDA loss improved by $3.1 million or 13%. While a portion of the first quarter EBITDA improvement was due to a shift in the timing of expenses Blue Mountain's robust summer activities and lodging business were significant drivers of the growth over the prior year period and helped Blue achieve profitability during what is historically a loss period for ski resorts. As Tom mentioned, we believe there is an opportunity to replicate components of Blue's successful summer operations at some of our other resorts and to continue to shrink our loss outside of the ski season. In the adventure segment revenue for the quarter increased by $1.6 million or 7.3% while on a constant currency basis adventure revenue increased 22.2%. This growth was driven by our ancillary aviation services which benefited from an increase in fire suppression activity in the western U.S. and Canada and by operating an additional lodge for summer heli hiking at CNH [ph]. Adventure adjusted EBITDA for the quarter increased by $2.7 million or 127.6%, while on a constant currency basis adventure adjusted EBITDA increased $3.7 million or 175.1%. Adjusted EBITDA growth outpaced revenue growth relative to the prior year period, primarily due to our wholly owned subsidiary is contributing a greater proportion of adventure adjusted EBITDA this fiscal year. In the real Estate segment revenue for the quarter decreased by $3.3 million or 21.6% and real estate adjusted EBITDA for the quarter was flat relative to the prior year period. The real estate revenue decrease with largely due to the fires near Whistler Blackcomb and the associated smoke which decreased our tour volume at the Whistler Blackcomb IRCG sales center. Real estate revenue was also impacted by unfavorable foreign currency foreign currency translation adjustment of $500,000. On a GAAP basis the first quarter net loss attributable to [indiscernible] reserve holdings improved by $3.9 million compared to the prior year period primarily due to improved operating results. Capital expenditures for the quarter were $9.8 million versus $15.1 million in the prior year period, a decrease in CapEx was primarily due to a shift in the timing of expenditures. As Tom mentioned our calendar year 2015 capital projects are on pace to meet their targeted completion dates. Well we are pleased with our first quarter results and encouraged by early season indicators, the ski season has not yet begun and we have limited insight at this point into how it will all ultimate conclude. As a result our guidance for fiscal 2016 remains unchanged and we expect total segment revenue to be in the range of $570 million to $596 million, adjusted EBITDA to be in the range of $116 million to $121 million and net income attributable to Intrawest Resort Holdings be in the range of zero to $10 million. We look forward to a great ski season and with that operator we would be happy to take any questions.
Operator: [Operator Instructions]. And we will go first to Joel Simkins with Credit Suisse.
Unidentified Analyst: It's Ben, in the relrease you mentioned Blue Mountain with a driver for the mountain segment, just digging into lodging. However it's particular strong considering seasonality just want to see if there's anything with the consumer. You're seeing giving you more comfort taking price I think you mentioned if I heard you correctly more effective marketing, any more color here would be great. Thanks. Then I’ve one more.
Tom Marano: Sure. We’re seeing lodging is pacing well right now and lodging was very good over the summer. From our perspective the marketing effort we put into lodging has paid off and we've just been more aggressive with revenue management and it blew with booking conferences in particular.
Unidentified Analyst: And is that something you've put into the marketing effort I guess how should we get a timing of this, did it start this quarter or I guess what should we when we’re moving into the rest of the year is there potential to have this flow through there as well? A - Tom Marano We've been improving our marketing effort over the past year. We hired a new Chief Marketing Officer several months ago and he's been working very closely with our IT folks to better leverage our database of customers for our digital marketing.
Unidentified Analyst: And then last one you mentioned more summer activities. Do you care to provide some more color here regarding timing or CapEx I don't know concrete those plans are this point? That's all.
Tom Marano: Sure, everything's on the table as far as summer activities, but obviously that's a smaller component of our business than the winter. We won't be providing capital guidance until February.
Unidentified Analyst: For the overall business or for the summer activities?
Tom Marano: For the overall business and summer activities.
Operator: And we will go next to Shaun Kelley with Bank of America Merrill Lynch.
Shaun Kelley: I just wanted to just go back to Blue here for a second, I mean you called out the EBITDA growth which as you said is a rare occurrence, it appears in ski business for summer period. So the first question is just you know with the conference center, with some of the revenue management stuff you guys were able to achieve, was Blue better than what you were sort of underwriting. I know you know maybe not following it through to the guidance, it has to do with a lots of other things given how small proportion of earnings we’re actually talking about, but I'm just curious was summer better than what you were expecting at the mountain and some of your integration efforts?
Tom Marano: No not really, I mean we knew Blue was going to contribute a significant amount and so we would built that into our forecast.
Shaun Kelley: Okay. And just thinking through the summer CapEx you mentioned that Winter Park would probably be the most logical candidate. You know if you we think about that I mean obviously [indiscernible] is in the midst of a pretty substantial kind of rollout of summer initiatives across several of the keep mountains. These types of improvements take time, they take permits, you how quickly, you know big picture obviously it's probably days but how quickly do you think you guys can move forward on something like this just given where you sit with some of those legal challenges that sort of exist in Colorado?
Travis Mayer: I think Shaun we have some benefits that make the timing a little bit easier if we work and try to install new summer tractions equipment. Specifically we own a substantial amount of private land at the base of sea resorts which eases some of the permitting stuff. But bigger picture we need to go through the capital planning process and come up with our priorities for calendar year '16 and like Tom said we still have a lot of opportunity in the winter. So we got a new [indiscernible] summer in the context of that and we will go through that process going in February call, we will lay out what we think the priorities are for calendar year '16.
Shaun Kelley: And then last question Travis, you mentioned a little bit time that’s expensive, it may have helped mountains optics in the quarter I think, could you quantify or anything you could point to on that just for online purposes?
Travis Mayer: I think, I mean there is fairly some timing on the marketing stuff. The marketing dollar is often don’t allow into the marketplace as soon as you expect and then some of the lift maintenance slips in October, November, obviously it could have done before ski season starts, but nothing that's really large an out of ordinary like Tom said first quarter sort of went according to plan we're happy with the growth year over year and this point feel good about where we are.
Operator: And we will go next to Chris Woronka with Deutsche Bank.
Chris Woronka: I wanted to ask you on the CMH business and I guess also to an extent few of the mountains, are you yet seeing a big increase in visits -- reservations from U.S. based visitors?
Tom Marano: Given the business as CMH is primarily international mostly Europe and the U.S. We haven't seen that significant a change yet, a lot of the U.S. people book in the fall. We did go out with a promotion using our entire database from all over resorts soliciting what we refer to as newbies to come up to CMH and we had overwhelming success with that based upon the value not only of the Canadian dollar but some discounts we offered to newbies as I mentioned to increase the load factor on the helicopters.
Chris Woronka: And then on the -- as we think about real estate opportunities in Colorado I understand you don't have anything to announce yet, but are you potentially any further down the road in terms of thinking how you might structure something or what form it might take in terms of straight up residential or timeshare fractional anything like that?
Tom Marano: At this point we don't have anything to announce, however we have engaged now two firms to not only look at what we would do for the mix of residential and retail commercial tight spaces as well as possible realignment of some of the lifts. So we don't really have anything to mention right now, but we're making good progress and we're going to do that in a very deliberate, thoughtful way to maximize the execution and minimize the downside risk if the economy were to change.
Chris Woronka: And then just finally, you mentioned that folks are beginning to -- you've got them beginning to buy a little bit earlier in the preseason sales. Do you think -- was there are bigger delta there this year versus last year and I guess you know how much more do you think is possible in the future in terms of getting those things sold before the fall selling season?
Tom Marano: It was slightly more on the earlier side. I mean I wouldn't say it wasn’t overwhelming number. I think there is additional opportunity to grow the past sales and additional opportunity to market the value we've put into these passes by buying early. So I think there's opportunity there and I'm not particularly worried about hitting the wall at this point in time on past sales.
Operator: And we will take our next question from Afua Ahwoi from Goldman Sachs.
Afua Ahwoi: Just two for me, first on the East Coast have you seen any hesitancy to buy season passes given the unseasonably warm fall or it's too early to tell? And then second, Tom I know you mentioned acquisitions, those are still to come sort of -- you’re still working to nothing to announce now but given it's been a year since roughly a year since you did Blue. Is there any idea you can give us on time and patience. When we can expect given that’s part of sort of your target to reach the 100 million in EBITDA over the next eight years. Thanks.
Tom Marano: Actually no impact from concerns on the weather with past sales on the northeast. I think a lot of people in the Northeast are probably mentally still recovering from last winter which is a plus for us, the passionate skiers are expecting possibly some repeat of last year. As far as acquisitions are concerned as I mentioned before there's nothing to announce right now. We obviously are working on looking at several opportunities, but when we have something to announce we will announce it. But I can't really comment on anything at this point.
Operator: [Operator Instructions]. And we will go next to Joe Edelstein with Stephens.
Joe Edelstein: I was hoping to come back to the real estate discussion. I know you're not able to share more details yet but what's the general timeline, what sort of deadline are these consultants working under to get you some information that what you can be positioned to really detail those development plans?
Tom Marano: The work is active. It's live, it's going on right now, our hope is to complete the majority of the work and possibly come back with announcement of what some of our conclusions are in the spring.
Joe Edelstein: And Travis would you be willing to talk a little bit more about how the segment might break down in terms of the guidance range. I was hoping if you can maybe add a little color just around the mountain segment, I'm assuming it's kind of a typical 3% to 4% price increase with some visitation growth. And then also aside from this quarter's fire suppression activity on the adventure segment, is that a business that you can see some modest growth and I know you're already seeing some bookings but broadly speaking just if you can break down the main buckets there that would be helpful.
Travis Mayer: So I will start with the mountain segment. We have been reluctant to provide ski visits or ETP guidance just because the snow and how many days each pass holder decides to ski on a pass, those metrics can shift around a lot, so we try to point people to revenue and EBITDA, that’s kind of the important stuff. So at this point I don’t -- we’re not going to provide a whole lot more color on that. For the adventure segment, certainly pleased with the summer firework. Also pleased with the performance of the second heli hiking lodge at CMH this summer and we do think there's growth opportunity within CMH if look at the reservation step today we are at 9% or 10%. So we’re positioned well for a good winter. So we’re still confident of this growth in that business.
Joe Edelstein: And then also just with the guide itself and kind of the framework that you've given. Just at the midpoint would suggest about 90 basis points of EBITDA margin expansion. Where do you think most of that is coming from is it still on the mountain side maybe it's back in the adventurous I just given the momentum that you just spoke to?
Tom Marano: I think I mean both way the mountain just a virtue by the gain of big business and the fact that it's a just by virtue of the day in the big business and the fact that the fact that the fixed cost business. So as we grow our revenues there's the potential for margin expansion overtime.
Operator: That concludes today's question and answer session. Mr. Tom Marano I'd like to turn the conference back to you for any additional or closing remarks.
Tom Marano: I just want to thank everyone for joining the call on and let you know it's snowing in Colorado. The mountains are getting a ton of snow and we getting a plenty of it up at our park right now. So we're really looking forward to the season and appreciate everybody's time.
Operator: This does conclude today's conference. We thank you for your participation.